Operator: Good afternoon, and welcome to the Digital Turbine Fiscal Second Quarter Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] I would now like to turn the conference over to Brian Bartholomew, Senior Vice President, Capital Markets. Please go ahead.
Brian Bartholomew: Thanks, Debbie. Good afternoon and welcome to the Digital Turbine fiscal year 2023 second quarter earnings conference call. Joining me on the call today to discuss our results are CEO, Bill Stone; and CFO, Barrett Garrison. Before we get started, I'd like to take this opportunity to remind you that our remarks today will include forward-looking statements. These forward-looking statements are based on our current assumptions, expectations and beliefs, including projected operating metrics, future products and services, anticipated market demand and other forward-looking topics. Although we believe that our assumptions are reasonable, they are not guarantees of future performance, and some will inevitably prove to be incorrect. Except as required by law, we undertake no obligation to update any forward-looking statement. For a discussion of the risk factors that could cause our actual results to differ materially from those contemplated by our forward-looking statements, please refer to the documents we filed with the Securities and Exchange Commission. Also during this call, we will discuss certain non-GAAP measures of our performance. Non-GAAP measures are not substitutes for GAAP measures. Please refer to today's press release for important information about the limitations of using non-GAAP measures as well as reconciliations of these non-GAAP financial results to the most comparable GAAP measures. Now, I will turn the call over our Chief Executive Officer, Mr. Bill Stone.
Bill Stone: Thanks, Brian, and thank you all for joining our call tonight. I know the vast majority of investors are currently focused on the macroeconomic environment and what it means for our business versus the micro operational details. And while I'm going to cover both in my prepared remarks, I'd like to begin by talking about the macro environment and what it means to us before diving into our results for the second quarter. The macro environment we've experienced over the last 2.5 years has been the most dynamic I've seen in my 30-year career. It's required companies to operate lean, while being nimble, flexible and open to change. I want to focus my commentary on the current macro operating environment and what we're seeing regarding digital ad spending devices, and operator and OEM focus areas. First on digital ad spending, at the headline level, and as many others have already reported, it has slowed. However, we believe that this is both temporary, and also much more nuanced in the details, as many are painting all digital ad spending dynamics with the same brush. We believe this trend is temporary for a very simple reason. Since the beginning of the first ad dollar spends hundreds of years ago, continuing to today and ultimately tomorrow, ad dollars have always followed where our eyeballs are, and today our eyeballs are on digital devices and we don't see that changing. In fact, we see that growing. So while there are some modest deceleration in the short-term, as advertisers figure out how to best optimize their spends in an inflationary and slowing macroeconomic environment, the dollars are there and will be there over the mid and long term. Also, we see a lot of nuance in the ad dollar spends. For example, platforms that have been heavily reliant upon Apple's historical IDFA identifiers, and ad tech tactics like view through attribution, have been disproportionately negatively impacted. Also, platforms have a difficult time working with advertisers on the return on ad spend or row as metrics are also having a difficult time. We are also seeing a modest slowdown in U.S. device volumes as consumers decide not to invest many hundreds of incremental dollars on a new device, and some supply chain constraints exacerbate these trends in some markets. For example, here in the U.S. devices were marginally up sequentially, but declined by more than 1 million from a year ago. And finally, it's been well documented from many global operators and OEMs on their commentary on how they are trying to grow revenue in these types of macro environments. This is a tailwind for our business as they look for new revenue streams from companies like Digital Turbine and I'll provide some specific examples of our success later in my remarks. The takeaway for investors is that we view the situation as temporary in nature, the macro conditions are more difficult compared to prior years, but not insurmountable or falling off a cliff. Unlike the macro situation that is currently more supply versus demand driven, the situation in our industry is more demand versus supply driven in the short-term. OEMs, operators and ad publishers are looking for companies like Digital Turbine that can provide them with more dollars while demand sources are being more cautious and deliberate in their spends. The dollars and opportunities are still there albeit more work in effort is required to capture them compared to prior years. Turning to our second quarter results, we had $175 million of revenues $48 million of EBITDA and $0.34 of non-GAAP earnings per share. In addition, we reported record gross margins of 52% and record EBITDA margins of 28%. This was our sixth consecutive quarter of EBITDA margin growth. As we have focused on margin accretive opportunities and as Barrett will discuss in his comments, we are guiding today to make it our seventh consecutive quarter for this upcoming December quarter. And over those prior six quarters, we have delivered nearly three times the EBITDA that we did in the preceding six years combined. Non-GAAP gross profit margins improved sequentially from 50% to 52%, compared to a reported margin of 48% in the second quarter of last year. Many companies struggle to increase margins in this current inflationary environment and the ability for us to continue to show margin improvement is something we're proud of. And given the macroeconomic situation, focus is key. To that end, we are reorienting our headcount towards future versus legacy products. And specifically, we're migrating portions of our legacy performance and reseller ad tech businesses, towards more focus on growing things like the brand business and improving performance on leveraging SingleTap on our demand side platform or DSP. This is having a short-term headwind on pro forma overall top-line performance, but the changes should continue to help both our margin profile and sharpen our focus by doing fewer things better. For our On-Device business, the drivers of those results were driven by more devices, more products, and more media relationships. And in particular, we added nearly 75 million devices in the June quarter, which compares to 68 million devices in the June quarter last year. This growth was driven internationally as U.S. device sales were down about $1 million year-over-year or 1 million devices year-over-year. I was pleased with our continued improvement in revenue per device, or RPD. In the U.S., our RPD of over $5 per device was approximately 15% year-over-year. We have RPD work to do internationally, as we did not seem the same year-over-year growth. As the mix of devices was indexed higher and developing versus developed markets, or RPDs tend to skew a bit lower. Here in the U.S., I'm pleased that we also extended our contract with Verizon for another four years as we continue to add new revenue streams and products with them. We also made progress in our SingleTap licensing product. We are on track to the update we provided at the last earnings call. But in particular, I want to call out some higher profile license relationships with Google, a Tier 1 gaming publisher, and also a very large e-commerce provider with a large growing advertising business. Google will be selling our SingleTap licensing product in its Google Cloud Marketplace. This is a yet another benefit of the strategic partnership we announced with Google and our joint press release last year. We also anticipate launching with the other two higher profile partners during this current quarter. Bigger picture for SingleTap licensing the product market fit is very strong, and we're all excited about the prospects for SingleTap licensing. But I do want to remind investors that it will take time to get from executed agreements to material revenue generation. Similar to the early days of our dynamic install business where we launched with one mobile operator and with only a slot or two and then ramped and then added another and so on. It layered on nice sequential growth as we expanded the breadth and depth of our carriers and OEMs. I expect a similar trend to emerge with our SingleTap licensing business. We also have both some headwinds and tailwinds in our Content Media business. As we discussed on our last earnings call, we have been focused on improving the overall quality of our product for advertisers while also prioritizing growth and our postpaid content, media business activities, as we believe that longer term growth is going to come from the postpaid market that has approximately 300 million subscribers here in the U.S., compared to approximately 75 million for prepaid. While our strategic shift to prioritizing growth from the postpaid content media business has resulted in short-term headwinds on prepaid daily active users, our other On-Device businesses would have experienced modest growth year-over-year. We have launched our postpaid Verizon content native relationship and are now on 50 different device models. And as we ramp with Verizon expand with AT&T and focus less on this prepaid content revenue product, we expect our content media business to resume growth in 2023. On the app growth platform, or AGP business, while a year-over-year revenue growth was 6%. Our gross profit growth was double that driven by OneDT synergies and are focused on higher margin products. The slowing in the macro digital ad spending of declining eCPMs is being offset with higher volume of impressions, as we continue to add additional supply in the market. From a regional perspective, we continue to maintain a diversified global footprint. And in the current quarter, we saw impressions grow year-over-year across all of our major regions, with Asia Pacific showing particular strength. Looking at ad placement types we've also maintained a balanced portfolio waited between banner interstitials and video. Banners have seen accelerated growth this past year with the continued expansion of the Digital Turbine exchange and DSP. Video continues its growth trajectory, and remains the placement format we believe has the most future upside. We have work to do on the eCPMs on our performance and DSP business is that was below our internal expectations. But I was pleased to see sequential growth in our brands business is that as a strategic focus area for us and was a key driver over AdColony acquisition. We have also made some strategic hires in our brand business over the past 60 days, so I'm optimistic we will continue to see momentum here. I was also pleased to see growth of double digits year-over-year in our Apple iOS business as we continue to improve our AI and machine learning and other larger players now have to compete on more of a level playing field with us, now that things like do through attribution used by those larger players is no longer supported by Apple. Turning to the future, I want to spend a few moments highlighting our growth drivers. I mentioned both SingleTap licensing and postpaid content media earlier in my remarks as strategic growth opportunities. But also, as we've mentioned on prior calls, we want to build a Shopify for app stores on device. We believe we are uniquely positioned whether on device technology, our publisher relationships, and our operator and OEM relationships. We also believe that pending global regulatory environment will provide additional thrust to this vision. And to achieve this vision, there are some market pain points we will be solving, including making it easier for app publishers to port their apps into the new platform, managing payments, installing the applications, and managing curation of the micro stores. I'll making it easier to port apps and manage payments, we took the first step and accelerated our efforts in this area by taking an equity position in an alternative app store called Aptoide, which has approximately 250 million users, 10 billion downloads and over 1 million applications. Combining these capabilities with things like SingleTap will make installs easier for consumers. And we can further leverage our On-Device position with Ignite to drive artificial intelligence and machine learning to focus on the right apps to the right features On-Device versus the customer being overwhelmed and being dumped into a big app store with millions of applications to choose from. The alternative app stores will help us further leverage our ad tech assets with applications supported by in app advertising revenue. But the app stores will also help us with our first foray into the in app purchasing market, which is over $100 billion global addressable market today. You will see us refer to this business as our hub business and variants of the hub where that are things like games hub, apps hub, and so on. We anticipate launching our first integrated effort with a leading U.S. operator in early 2023 and have received strong global market feedback from our strategy and approach. We're also making many organic product enhancements to our ad tech platform, including adding new ad units new formats, new partners, new demand, improvements to our mediation, and new bidding methodologies. This historical AdColony and Fyber businesses were very simple in their approach to both the gaming and single video format. That focus served them well, but also materials limited the market opportunity. We want to build on that success and have been busy building many new capabilities that are just beginning to launch in the market and should serve as nice growth catalyst, and how we can cast a much wider net for the ad dollars that are out in the market. To accomplish all of these new growth areas, allocating resources will be a key. I believe a competency of our business has been a resource allocation against our strategic priorities. Unlike many tech companies that overstaffed during the pandemic, we remained efficient and focused with each DT employee now contributing in excess of $200,000 of EBITDA, which would put Digital Turbine in the top tiers of profitability per employee across any industry, not just technology. On a pro forma basis, our total headcount is actually lower by approximately 20% compared to 2020, as a result of cost synergies, and is lower today than a year ago at this time. But we've been able to simultaneously make new strategic resource investments against our priorities discussed earlier in my remarks. This disciplined approach to managing investments and expenses has been part of our culture since the beginning and is now serving us well as we see many others having to freeze hiring or lay people off neither of which are we are doing at this current time. We are surgically hiring against our strategic priorities include hiring a new Chief Technology Officer, Senthil Kumar. Senthil joins us from Meta and brings us over 20 years of technology leadership and ad tech, telco, software, hardware and product leadership. He's a very strong addition to our executive team and looking forward to his immediate contributions. And in conclusion, we are seeing some macro headwinds, but both we believe they're temporary and I know many investors are short-term focused, but we are very confident near future and confident in the investments we're making to drive long-term value for Digital Turbine. With that, this concludes my prepared remarks and I'll turn it over to Barrett to take you through the numbers.
Barrett Garrison: Thanks, Bill, and good afternoon, everyone. Our Q2 results reflect our continued focus to deliver sustainable profitability as we make conscious efforts to expand our gross profit and EBITDA margins even during these dynamic times. Before I begin, as a reminder, we passed the anniversary dates of our acquisitions made last year and will no longer refer to results on a pro forma basis. Revenue of 174.9 million in the quarter was down to 7% year-on-year. Despite a softer ad market, our AGP business grew 6% driven primarily by growth on the exchange platform. Our ODS segment was down 16% over prior year, largely driven by the near-term headwinds Bill discussed as we evolve our content media products, which were partially offset by the modest growth experienced on our app media products as North America RPD yields continue to expand. As I've mentioned previously, in this environment, global companies are facing headwinds driven by the trending strength and the U.S. dollar. Fortunately, foreign exchange rates have had only a modest impact on our revenues despite the macro climate. This is due primarily to our current business model, where we'll only have modest foreign exchange exposure given the majority of our revenues and expenses are nominated in U.S. dollars. Our margin expansion efforts enabled gross profits to increase 1% to 90.5 million and gross margin on the platform expanded to 52% in Q2, up from 48%, as reported in the prior year, and up sequentially from 50% in Q1. While continued focus on margins enabled expansion across all our business lines, our ODS segment was an important driver in the year-on-year improvement. In addition to our core business expansion, we also experienced the benefit in the quarter from a renewed partner agreement that enhanced margins. And as a reminder, while gross margin rates can fluctuate from quarter to quarter, we generally anticipate long-term margin expansion as we continue to execute on our growth and synergy strategies. We continue to deliver cost efficiency on the platform. As cash operating expenses were 42.3 million in Q2, which were flat to prior year and represented 24% of revenues in the quarter. And total operating expenses were 67.7 million, which were also constant sequentially and lower compared to total operating expenses of 72.7 million in the prior year. While we remain disciplined with operating expenses, the realized efficiencies in our cost structure have enabled funding measured investments focused on our teams, our infrastructure, and new growth priorities. These near-term investments are anticipated to drive continued benefits to be realized over the coming quarters to further improve our efficiency and our operating leverage. Our adjusted EBITDA 48.2 million in the quarter increased 1% over prior and our EBITDA margin expanded to 27.6, up approximately 200 basis points over the prior year. And we're pleased to deliver in Q2 our sixth consecutive quarter of sequential EBITDA margin expansion. I'm proud of the durability of our operating model and our EBITDA growth and margin expansion that is all being achieved, especially in a challenging macro environment. I continue to be pleased with our profitability and free cash flow delivered in our business. In the quarter we achieved non-GAAP adjusted net income of $35 million or $0.34 per share as compared to 45.3 million or $0.44 per share in the second quarter of last year. While income from operations improved over prior year, we incur greater interest expense driven by rising rates partially offset by reduction in our debt balance. We have higher taxes relative to Q2 in last year. As expected, primarily driven by lower tax benefits from stock based awards and greater income in foreign jurisdictions. Our GAAP net income was 11.7 million or $0.11 per share, based on 103 million diluted shares outstanding compared to prior year net loss of 5.9 million or a loss of $0.06 per share. Healthy free cash flows for the quarter of 22.4 million enabled us to exit the quarter with 82.7 million in cash after paying down 26 million in debt using our free cash flow from operation to further deleverage our deposition. Our debt balance into the quarter at 450 million drawn on our revolving credit facility and as our business continues to produce strong free cash flows, we would expect to continue to pay down our revolver. We are confident in our balance sheet and our capital position given our profit model with expanding margins, strong cash flows, and access to low cost credit facility. While we expect these market conditions will be temporary, we are well positioned to resume to stronger growth when the macro landscape improves. Now, let me turn to our outlook. As we consider the ongoing uncertainties in the macro environment. We currently expect revenue for Q3 to be between 180 million and 190 million, and adjusted EBITDA to be between 53 million and 57 million, and non-GAAP adjusted net income per diluted share to be between $0.36 and $0.39, based on approximately 104 million diluted shares outstanding and an effective tax rate of 25%. With that, let me hand it back to the operator to open the call for questions. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Dan Day with B. Riley Securities.
Dan Day: So look, if I'm doing the math, right. Just based on a couple of the things you provided in the prepared remarks, it would seem that a content media revenue was down a little over 40% with this transition to postpaid in mind. So maybe if you could just -- first if you could just confirm that's about right? And then if you could just walk investors through the expected revenue wrap. How long you think it should get back to the pre-transition levels where we are with the Verizon AT&T, potential partnerships, and then whether you might get some of the business from T Mobile that has been lost in the prepaid side back on their postpaid side at some point?
Barrett Garrison: Yes. Thanks, Dan. Just on the numbers, we did reference -- we don't break out the content specifically. But we, the segment, we report ODS. It was we did reference it was impactful. Overall excluding our content business App Media business was up slightly. I'll let Bill answer address the strategic point.
Bill Stone: Yes. Yes, sure, Dan. The first thing I'd say is just as a reminder for us, between 80% and 90% of our revenues of our company come from something other than this just for context. But as it relates to content media specifically, yes, we've been really beginning to focus a lot more on the postpaid product. We want to get better quality for our advertisers and really get after the broader market that goes with postpaid. So, we've been really focusing our resources on deploying that. And as I mentioned in my remarks, we're starting to see some nice traction with that. Now we've got to turn that nice traction and engagement into revenue, which is what we expect to happen as we get back into 2023. But it had -- that focus has negatively impacted our prepaid business. And so we've seen some declines in daily active users as a result of that. But we expect that to resume as we get into 2023.
Dan Day: Awesome. And then one other thing, you talked in the prepared remarks about sort of this delay between when you get the licensing deal when it starts to generate material revenue, I think like the perception from some investors is you're going to strike these deals and then they turn it all on the platform and then the money starts flowing in. Clearly, it's more complicated than that. So maybe if you could just walk us through why that is, and so we can understand a little better why there might be a delay between getting a deal and SingleTap revenue coming in.
Bill Stone: Yes, sure. You know, I think one thing it's important for investors to understand about SingleTap is really an enablement capability. And we've got four different types of revenue streams that we have our SingleTap, we've got it in our DSP business, we run it through our legacy, AdColony business. We just integrated into our Fyber exchange business. And then the fourth part is the licensing business that's attracting a lot of investor attention and a market we're excited about. In that fourth part of it, I really just view this very similar to we started the dynamic install business many, many years ago, where you start with one material player, you get going, then that player wants to expand to do more and more, whether that's in you know, more geographies, or more ad types, or whatever it happens to be in this case, and then continue to expand it to other providers, but you go deeper with the ones you've got, you go broader with new ones. But I think that kind of sequential growth is something that, we just want to make sure we manage expectations. We're very excited about it. We've run the models, we know what it looks like, internally. We think this could be really big. But at some point, we don't want to get over our skis, in terms of managing expectations on because there are a lot of last mile operational issues that are associated with getting this thing going and ramped. And that's where we're really focused right
Operator: Next question is from Darren Aftahi with ROTH Capital Partners. Please go ahead.
Darren Aftahi: Thanks for taking my questions. Nice job on the cash flow. Could you just kind of give us an update, Bill, with everything that's kind of going on with Europe, just the Samsung SKUs, the relationship there? Are you guys seeing any better traction than kind of your commentary last quarter? And then my second question on the licensing business for SingleTap. You mentioned some Tier 1 wins in Google Cloud, like -- do you feel like you finally hit an inflection point? Or this is going to be more of a roller coaster ride, maybe like the early days of dynamic install?
Bill Stone: Yes, sure. Thanks, Darren. Yes. So first on the devices. I was really pleased in this to have 75 million devices put on the board. I think that's a record for us all time in this environment. And as I mentioned in my prepared remarks, the vast majority of that was internationally, which obviously, Samsung is a major contributor the largest contributor of all of those around the world. So we're pleased with that. And we're going to look to continue to expand that number. I think one of the things that negatively impacted not just us but everybody here in COVID was working a lot of different kind of global relationships to add more supply and we're starting to see kind of a rethink of that as operators and OEMs are looking for new revenue streams. And so, obviously, we provide that them. So I'd expect to see continued traction and momentum on that. Regarding the inflection point question, yes, I think we're at a point now where we've taken this from a great idea to now getting signed contracts, seeing a little bit of revenue roll in. But as I mentioned to Dan earlier, I just want to make sure we temper expectations. We're excited about it. We do think we're at an inflection point. But we want to make sure that we manage expectations around it, so we don't get over our skis. And those are things in mistakes we made many, many years ago in the past, back to your reference on the dynamic install business. And so, I want to make sure we don't repeat that. So we do want to continue to focus on how we can under promise and over deliver there.
Darren Aftahi: If I could sneak in one more maybe for Barrett. Your comments about deleveraging like what's your kind of general rule of thumb about cash -- free cash flow generation relative to debt pay down?
Barrett Garrison: Yes. So our view on our long-term EBITDA conversion to free cash flow hasn't changed, right? We've still been in the -- we still view that as the 70% to 80% just given the nature of our financial engine. So at that rate, you could assume that we don't have a lot of assets that we're going to be investing in. And so if there's not an opportunity, we turned that free cash flow, we direct that towards paying down our debt. So Darren, you can take the 70% to 80% over the year and apply that to debt pay down.
Operator: Our next question is from Omar Dessouky with Bank of America. Please go ahead.
Omar Dessouky: Just wanted to ask about any progress on the SingleTap fiber integration. I'm wondering if that is launched. And if there's anything worth calling out in terms of flows and demand that you're seeing there?
Bill Stone: So we've soft launched it. And we've enabled it. We are right now, we're pressure testing it with the DSPs that plug into Fyber. And we want to make sure we've got that right, relative to our own DSP performance. And so we're doing a lot of kind of A/B testing around that to make sure that it's meeting their expectations in terms of return on ad spend versus just sheer number of installs. So I'd say we're being pretty cautious with it. But we're very excited about it.
Omar Dessouky: And do you have any sense of when we might be able to see incremental revenue from that in the next year?
Bill Stone: I would expect as we get in as you see is get into future quarters, we're going to see incremental revenue from that. Absolutely.
Operator: Our next question is from Anthony Stoss with Craig-Hallum. Please go ahead.
Anthony Stoss: Congrats on the nice margins. Bill, just getting back to SingleTap for a second here, I know, there's been a lot of custom work for a bunch of these Tier 1s. Have you learned a lot through this process where you can potentially onboard other Tier 1s much quicker? And I'm curious if you think he can take on your several new launches per quarter. And then I had to follow-up on after that?
Bill Stone: Yes. Sure. Tony, thanks. Yes. we're working on that right now. That's a major focus area, some of the stuff I'll call it, it's not necessarily the sexy stuff in terms of announcing some of the larger deals is in the implementation. And what we've learned, in the early days, when we launched with Verizon, and Samsung, and AT&T, in our Dynamic install business, that last mile of execution at high scale, that last mile of execution is just critical to success. And so we're absolutely working on how we automate. And we've learned a lot for that versus getting into a variety of bespoke solutions. But we do have to work to integrate with these partners. And so, the work isn't necessarily difficult, the work just has to get integrated into their existing processes. And that's something that I think would probably spend the hardest thing for us in terms of taking the time to get going. But I think we're making some material progress against it. And very excited to see how this business can play out for us in 2023.
Anthony Stoss: And then, Bill, you seem pretty excited about this combo after a launch in early 2023. With the U.S. operator, any more detail you can share or maybe the revenue impact. And then I wanted to sneak in one for Barrett, just kind of thoughts on gross margins higher next year, fiscal year this year still?
Bill Stone: Yes. So, as we think about the alternative app store space or we're calling our hub internally. We think there's a real opportunity for curated app stores. Just like in our regular worlds today, we'll go to Amazon and buy stuff in the e-commerce world. But we also see things in our local stores are powered by Shopify that are maybe more curated for our personal experiences. And given our unique position on device, we think we've got a really good back here to not just leverage our ad tech assets for in app advertising, which we're doing, but also is our first foray into in app purchasing. And as I mentioned my remarks, that's $100 billion market. So if you can think about us now collecting dollars in terms of acquiring new users, collecting dollars for the advertising inside those apps, and now expanding that to another dimension, with the NF payment piece of this, I think that adds, you know, a nice revenue growth opportunity for us. And so we're going to get this going off the ground early next year. But I think the thing that also will be exciting, and now that, you know, getting over midterms, is how the regulatory environment goes. We see all the Digital Markets Act in the EU just get passed, and it's in the process of getting implemented. I expect to see now some legislation getting going here in the U.S. as bipartisan support that could be a real nice tailwind and thrust to our activities in the space.
Operator: Our next question is from Arthur Chu with BofA Security. Please go ahead.
Arthur Chu: Hey, thanks. Thanks for taking my question. Actually, my question was just asked by Omar, so no worries. Thank you guys.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to CEO, Will Stone for any closing remarks.
Bill Stone: Thank you all for joining the call today. And we'll look forward to reporting our progress against all the points we made on today's call. We'll talk to you again in our fiscal 2023 third quarter call in a few months. Thanks and have a great night.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.